Operator: Welcome to the IAMGOLD Third Quarter Operating and Financial Results Conference Call and Webcast. [Operator Instructions] At this time, I would like to turn the conference over to Ken Chernin, Vice President, Investor Relations for IAMGOLD. Please go ahead, Ken Chernin.
Ken Chernin: Great. Thank you very much, [Selvis]. Welcome to the IAMGOLD conference call. Joining me on the call are Steve Letwin, President and CEO of IAMGOLD; Gord Stothart, EVP and COO; Carol Banducci, EVP and CFO; Craig MacDougall, SVP, Exploration; and Jeff Snow, Counsel and SVP, Business Development. Our remarks on this call will include forward-looking statements. Please refer to the cautionary language regarding forward-looking information in our disclosure documents, and be advised that the same cautionary language applies to our remarks during the call. The slides that are referred to during the presentation can be viewed on our website. I’ll now turn the call over to our President and CEO, Steve Letwin.
Steve Letwin: Well, thanks, Ken and good morning, everyone. A quick note, Laura Young who is sitting across with me today is attending her last conference call with us and for those of you on the call Laura has been very, very instrumental in putting together all of our press releases, our MD&A, our conference call scripts. She started around the same time I did which is 8 years ago, and I just want to say thank you Laura, we’re going to miss you terribly. And we wish you all the best in your retirement. So just to reinforce what we said in the press release, we expect to have a solid finish to the year. Gord is going to take you through this and we made it clear that we confirm our 2018 production cost guidance. We had a tougher quarter than we expected than you expected, it was mixed, it results in reflecting gold margins under pressures for a number of reasons that Gord and Carol are going to talk but my job is to reinforce the positive developments that are occurring at this company that you have seen press release after press release that's enabling us to build a better future for this company. We are adding the Saramacca Sunday morning. We've got three plan loads of investors and shareholders and analysts. We’re going to see the start of construction of the road. We’ve already started work on the road. Saramacca has a beautiful look to it. We've seen the Côté feasibility study in the way it looks extremely attractive, it’s a beautiful project for the company, it's transformational. You seen Boto for the future, you see Westwood ramping up, this is company that is completely changed. Production is moving up significantly over the next three to four years, costs are coming down, our reserve rights are increasing. So look the quarter is important. We wish it would have been a little stronger but it doesn’t deter us from our quest to bring this company into the top quartile as a performer on a margin basis, on a reserve basis and on a production basis. And we are on that road and we’re seeing some really successful execution around it. On Slide 5 as our transformation continues, you will see that we will turn ourselves into a low-cost producer. It’s the one challenge that always been there when gold gets to around $1200. You can how much our stock gets affected. We’re really aware of that. We’re very focused on it, very motivated on it. Our compensation metrics are aligned to bring those costs down, to bring the reserve life off an increase our production. So we've targeted this, we're hoping that gold obviously strengthens or increases in price, but it's not what we're counting on when we do our plans. The higher expected return will be there for our shareholders over the next couple of years. Saramacca has proven to be an exceptional deposit. Significantly it was the main driver behind Rosebel's 51% reserve increase that we announced on September 23. With Saramacca now folded into the mine plan Rosebel is headed towards higher production and improving cost structure and is added five more years to his life expectancy. With expiration work continuing along the Saramacca-Brokolonko trend, we expect more years beyond 2033. The outlook for Boto gold has stepped up dramatically with the recent results of the feasibility study. This is simply a fantastic project with 23% after-tax rate of return. We still have permitting the complete and a final investment decision but clearly Boto is a high-value project that could take place of Sadiola. Our Côté Gold project we just announced the result of the feasibility study many of you were on the call last week when we presented the positive outcome with the amount of derisking that has been completed over the past six years. The value of this asset has continue to grow. Côté has 10 million measured and indicated ounces, six kilometers off the highway between two major cities in Northern Ontario. It has 70% converted to reserves. We presented two scenarios both very robust with a 15% rate of return. The mine plan that exploits all of the reserves increase the NPV by 29%. Côté is a solid low-cost long-life project. It's one of the very few that are actually going into operation in this country in this province and in the world when you look around what projects are out there. Once in operation we expected to nearly double our operating cash flow. At our Essakane mine we have an opportunity to add ounces by optimizing the performance of the existing CIL mill rather than proceeding with heap leaching at this time, Gord will talk to that. The capital costs would be significantly lower and free up funds for other growth projects heap leaching is not off the table but would be deferred until closer to the end of Essakane's life. Essakane has been running as you know extremely well and will continue to do so well into the future. All of these organic growth initiatives Saramacca, Côté, Boto, Essakane are the bolt of a strategy that transform our company into a long life low-cost producer. I’ll add that in terms of sequencing Saramacca is already out of the gate, Essakane can happen in parallel. It makes sense that Côté would be next. The infrastructure is there, the distance from the pit to the mill is only a kilometer and Boto would follow that. And I want to emphasize this again and again and again. We will never put our balance sheet at risk for a project. Financing has to be in place before we begin. Carol is doing an outstanding job to ensure that our capital structure is aligned with our growth needs. And with that I'll pass it over to Carol.
Carol Banducci: Thanks Steve, and good morning everyone. As Steve said as anticipated we had a somewhat mix quarter with margins under pressure, yet positive developments around our growth projects and capital resources. I will begin with the summary of our financial results for the third quarter. Although up on a year-to-date basis, revenues of $244.8 million for the third quarter were 9% lower than the same quarter in 2017. The main factors were our lower realized gold price, and lower sales volume at Rosebel partially offset by higher sales volume at Essakane. Lower revenue with an increase in cost of sales was the reason for the decline in gross profit to $7.5 million for the quarter. However year-to-date gross profit rose slightly from the prior-year. Adjusted net loss in the third quarter was $6.9 million or $0.01 per share. Net cash from operating activities before changes in working capital was $39.7 million down from the same period in 2017 primarily due to lower earnings year-to-date we were up from the previous year. The next slide presents our hedges as of September 30, 2018. The Canadian dollar and the euro are hedged for 2018 and 2019. The oil hedges extend out to 2022. To hedge our currency exposure we use zero cost callers and in addition we opportunistically purchase the Canadian dollar and euro to add to our foreign account balances. For oil we use callers and have hedge between 47% and 75% of our annual consumption. Our balance sheet remains strong with $715 million in cash, cash equivalents and short-term investment primarily in many market funds. Net cash at the end of the third quarter was $315 million. In the fourth quarter of this year we expect to receive a $95 million final payment from Sumitomo for its purchase of a 30% interest in the Côté Gold project. The payment is triggered by the filing of the Côté feasibility study which will be within 45 days from the date the feasibility study results were announced on November 1. During the quarter, Moody’s upgraded our long-term credit rating with a stable outlook. Total liquidity including $250 million credit facility was $965 million at the end of the quarter. I'll also add that we are in advanced discussions with the syndicate of lenders to double the existing credit facility from $250 million to $500 million, and to-date we have received commitments. The facility is expected to close before the end of 2018. The additional funds will provide further financial flexibility as we continue to execute our growth strategy. Our financial strength continues to set us apart from the industry. As we move ahead with our growth projects, we will continue to make investment decisions and allocate capital in a way that maintains financial disciplines of our balance sheet. And with that I'll turn it over to Gord.
Gord Stothart: Thanks Carol. So operationally we had a decent quarter, not as strong as the first two quarters but solid enough to confirm total production and cost guidance for the year. Despite the lighter production at Rosebel, besides making excellent progress with initiatives to increase productivity and reduce costs. Essakane's mill output continues to be stellar and Westwood's production ramped up is on track. We finalized the new two year collective labor agreement at Rosebel and union members at Westwood would favorably on a new 5-year selective labor agreement. We continue to execute on our growth projects with success in enhancing expected returns. Attributable production for the third quarter of 208,000 ounces brings year-to-date production to 651,000 ounces. Although Rosebel's lower grades and mining tonnage impacted their performance during the quarter, after nine months we're 75% of the way to achieving the mid-point of our consolidated annual guidance. So we're right on-track. Year-to-date all-in sustaining costs were $1,035 an ounce. All-in sustaining costs for the quarter were impacted by lower sales of Rosebel and lump-sum payments to employees at Rosebel and Westwood in accordance with the new collective labor agreements. Although there's no change to our total production and cost guidance for the year, we have revised relative allocation to production guidance between the operations. As again guidance has been raised to reflect higher throughput and grades and Rosebel's was lowered with the decline in mining tonnes and head grades in the third quarter due to timing issues. Sadiola's guidance has been revised slightly upwards and Westwood's remains unchanged. At the consolidated level, 2018 production guidance remains unchanged at 850,000 to 900,000 ounces. We reassessed our CapEx outlook and have lowered guidance for 2018 to $305 million plus or minus 5%. This reflects a $20 million reduction in non-sustaining capital expenditures to $145 million. The $10 million reduction at Rosebel is mainly the result of deferred spending for the Saramacca project based on final engineering work, lower spending on indirect costs and the removal of the 2018 cost contingency. This has no impact on the completion date for the Saramacca project, the $5 million reduction at Essakane reflects the deferral to Heap Leach Project as we refocus the feasibility study on mill optimization. The $5 million decrease at Sadiola reflects where we stand with the Sadiola Sulphide Project. Turning to a site-by-site review of our operations and beginning with Essakane, so Essakane continues to perform very well. Attributable production of 96,000 ounces in the third quarter was up 3,000 ounces from the same quarter 2017. The increased output was mainly due to higher grades. As I said, Essakane's production guidance has been increased for the year, with commissioning of the oxygen plant this quarter, we expect a 0.5% increase in recoveries moving into 2019. Throughput as well has increased for the year as mill availability has been running higher than originally programmed. The mill continues to run 25% above nameplate capacity with annualized throughput of approximately 13.5 million tonnes on an 85% hard rock blend. The third quarter all-in sustaining cost at Essakane were $993 per ounce. The increase from the same quarter last year was due to higher sustaining capital expenditures. On last quarter's conference call, we talked about the 39% increase in reserves at Essakane, with higher grades encountered during PFS drilling accounting for about a third of the increase. We indicated that we could run Heap Leach in parallel with the existing carbon-in-leach processing. After reevaluating our options, we've decided that due to encouraging drill results in the push back zone, it is strategically and economically better to refocus the feasibility study on optimizing the performance of the carbon-in-leach circuit in the near term. We will still build the heap leach facility but not until the end of the CIL operations. In the interim, we will stockpile the heap leach grade for protecting the reserve declaration from June. This alternative will reduce our capital requirements at Essakane by at least $100 million next year, freeing up capital that can help fund our other growth projects. Turning to Rosebel, attributable production of 67,000 ounces in the quarter was 11% lower than the same period in 2017. The main reasons were lower head grade and throughput. We're already seeing good improvement in the fourth quarter along with further improvements expected once Saramacca with grades nearly double that of Rosebel's brought into production. Mine production was lower than the same period in 2017 mainly due to lower labor productivity during the collective labor agreement negotiations. With the new agreement signed on September 14, we are now seeing an improvement in mining productivity particularly with components of the variable compensation which are tied to productivity targets. Rosebel's all-in sustaining cost per ounce were significantly higher than the previous year, reflecting lower sales. Additionally, there was $1.7 million lump sum payment to employees in accordance with signing the new CIL and that had a $26 per ounce impact. Other factors were higher energy costs, increased maintenance, and lower capitalized dripping due to mine sequencing. On September 23, we announced 51% increase in Rosebel's reserves, a number of you were on the call so to briefly recap the highlight, the declaration of 1 million ounces in reserves for Saramacca on a 100% basis account for nearly two-thirds of the increase. Incorporating soft rock from Saramacca provided greater flexibility around blending ores, so we were able to add 400,000 ounces from the Koolhoven deposit. The additional 1.6 million ounces of reserves extends Rosebel's mine life by five years to 2033. Once Saramacca is at end or close to full production, Rosebel's average annual production will increase by 11% to 295,000 attributable ounces with 362,000 ounces during the peak years. We're progressing towards a production start in the second-half of 2019. Permitting is expected to be completed this quarter. Engineering and construction work is progressing well. Firm orders have been placed for the acquisition of the long haul fleet and the initial mining equipment fleet. The haul road between Saramacca and Rosebel is in the final phases of detailed engineering and road construction work is commenced on the Rosebel mining concession. The project team continues to work in improving the project economics. We feel it's too early to be publishing definitive class numbers when we see several strong opportunities for improvement. As I mentioned last quarter, we are also planning to begin conceptual studies next year to look at the potential for underground mining given the high grades intercepted during the initial expiration of the project. Once we've completed a preliminary round of the life of mine plan incorporating Saramacca, we should be in a much better position to provide more color so you can update your models. At Westwood, third quarter production was 30,000 ounces, a 3,000 ounce decrease from the previous year reflecting lower grades and slightly lower throughput. As per planned, Westwood mined lower grade stopes during the quarter. As in previous periods, reported mill grades were lower than mined grades, which is due to processing a proportion of marginal ore stockpiles to leverage available no capacity as the mine continues to ramp up. A new five-year collective labor agreement was signed on September 20, 2018. The inclusion of a $1.1 million lump sum payment had a $38 per ounce impact on cost of sales. All-in sustaining costs increased by 15% year-over-year due to the higher cost of sales, as well as lower sales volumes and higher sustaining capital expenditures. The increase was partly offset by a stronger U.S. dollar relative to Canadian dollar. As we progress toward the ramp up to full production in 2020, underground development continues to open up new mining areas. During the third quarter, the central ramp breakthrough was completed. While development work continued on the ramp breakthrough on level 132, this breakthrough at this level should provide access to higher grade areas for 2019. Infrastructure development continues in blocks at the lower levels including the 180 west level from which production is expected in 2019. At our Sadiola joint venture, attributable production in the third quarter of 2018 was 14,000 ounces, down slightly from Q3 2017, with the lower head grades. As in past quarters, the continued drawdown of marginal ore stockpiles is reflected in the higher cash cost. Lower all-in sustaining costs reflected nominal amount of sustaining capital expenditures compared to the previous year. Processing of stockpiles will come to an end midway through next year. While the agreement with the Government of Mali has not been reached around the terms necessary to proceed with the Sadiola Sulphide Project, we have together with our partner EGA initiated a process to identify third parties who may be interested in acquiring our collective interest in Sadiola. This process is at a preliminary stage and there is no certainty of its outcome. Now turning to our development projects. We announced feasibility study results for the Côté Gold project on November 1 that demonstrated significant economic and operational improvements from the prefeasibility study. For benefit of those not on the conference call following the announcement I’ll recap the highlight and I’ll speak to the numbers on a 100% basis. So compared to the PFS proven and probable reserves increased by 23% to 7.3 million ounces measured and indicated resources inclusive of reserves increased by 24% to nearly 10 million ounces and referred improved resources nearly doubled to 2.4 million ounces. A significant amount of derisking has been completed with multiple reserve and resource updates. So when we acquired Côté in 2012, the deposit comprised 6 million inferred ounces and just under 1 million indicated ounces and since then M&I resources have increased tenfold on a 100% basis. The feasibility study presented both a base case mine plan and extended mine plan. The base case is supported by 88% of the reserves and is aligned with the current permitting process. The extended mine plan exploit all of the mineral reserves, demonstrating the full potential of this project both scenarios assume $1,250 gold price unchanged from the PFS compared with the prefeasibility study both plans show mill throughput increasing to 36,000 tonnes per day. A lower strip ratio and slightly higher grades with the base case mine plan the after-tax IRR has increased to 15.2% and the after-tax MPV by 13% to $795 million. The mine life for the base case is 16 years the average annual production increased by 15% to 367,000 ounces and actually averages 428,000 ounces for the first 12 years. LOM average total cash costs were $594 per ounce and all in sustaining costs were $694 per ounce. With the extent in mine plan the after-tax MPV increased by 29% versus the PFS to $905 million with an after-tax internal rate of return of 15.4%. In this case the mine life would be 18 years with an average annual production increasing 16% to 372,000 ounces per year averaging 407,000 ounces for the first 15 years of production. LOM average total cash costs were $606 per ounce and all in sustaining costs at quarter $703 per ounce. The payback period of under four and a half years remains the same for both scenarios with no change in the initial CapEx. With the extended mine plan additional permits to raise the height of the mine rock area and the tailings management facility may be required. We expect construction decision in the first half of 2019 which would allow to begin production around mid 2020/2021. Turning to our Boto gold project we published the feasibility study results in October 22 again having gone through the details in the conference call I’ll just run through the highlight. And these results showed significant economic and operational improvement compared to the prefeasibility study which we announced earlier this year. On a 100% basis and compared to the PFS reserves increased by 36% to 1.9 million ounces indicated resources inclusive of the reserves increased by 29% to 2.5 million ounces after-tax IRR increased to 23% with a 3.4 year payback period compared to 13.3% after-tax IRR in the PFS. After-tax MPV increased by 151% to $261 million despite a lower gold price assumption of $1250 per ounce. Life of mine average annual production increased to 140,000 ounces over 12.8 years with a 160,000 ounces being produced on average in the first six years. Life of mine total production is expected to be 35% higher at approximately 1.7 million ounces. Life of mine AISC averages $753 per ounce, mill throughput is 37% higher with only a minor change in upfront capital costs. We’re still in the early stages of preparing a development timeline as a final investment decision needs to be made and there's permitting work to be completed. An application for mine concession for the project has been submitted to the Government of Senegal and we expect approval in the first half of next year. In the meantime we’re working to optimize certain aspects of the project design and expiration is focused on expanding resources near the pits and identifying targets for additional resources. And on that note, I’ll turn it over to Craig to talk about exploration in our other projects.
Craig MacDougall: Thank you, Gord, and good morning everyone. Before I begin as usual please note that the result I talk about today have been previously disclosed in accordance security regulations and signed off by the qualified persons within the company reporting them. Also note that any references to exploration targets potential including potential quantity and grade are conceptual in nature and insufficient exploration work has been completed to define a mineral resource and there can be no certainty then an exploration target will result in a mineral resource being delineated. Recently I came across some comments in a third-party research report that really resonated for me. They said exploration discoveries that make it to the resource stage are rare and the companies with large portfolios of exploration projects will have a competitive advantage in the future. Given the scarcity of new discoveries in our industry we believe that exploration value of resource project is not currently being recognized by investors. As an explorationist these points will mean near and dear to my heart. In 2017 IAMGOLD increased its reserves by 86% since then our reserves have continued to grow further 39% at Essakane, 51% at Rosabel, 36% at Boto and 23% at Cote. We have a robust portfolio of Brownfield and Greenfield exploration project which provide opportunities for furthering increases. At Rosabel we believe there is excellent potential to increase resources and reserves on the Rosabel concession and along the plus 20 kilometer long Saramacca-Brokolonko trend. With success there is strong potential for extending Rosabel’s mine life beyond 2033. During the quarter, we continued drilling on the Saramacca property and on the adjacent Brokolonko and Sarafina properties. At Saramacca the drilling program included ongoing hydrogeology study to support pit optimization and continued to target both potential resource extension an additional zones to mineralization alongside with the deposit. At Essakane exploration is focused on extending the mine life beyond 2030. During the quarter, we continued drilling on the mine lease and surrounding concessions. This included in-fill and expansion drilling on the Essakane main zone and at Falagountou where we were evaluating the potential to increase resources at both the West and East deposits. At the Gossey prospect, we continue to validate and finalize resource modeling to support the completion of initial resource estimate in the fourth quarter of this year. As we continue to evaluate other projects along Gossey Korizena trend. In addition to Essakane 1200 square kilometer land package over the past few years we've also secured more than 2000 square kilometers of exploration concessions on a highly prospective gold belt in Central and Western regions of the country and this is just in Africa. We have a number of other early stage projects underway in other jurisdiction which I hope to speak about in the future as they progress. At our Siribaya project we announced results from our 2018 drilling program delineation drilling over the past year has focused on confirming the resource and targeting the expansion of the Diakha deposit. These results will support resource update at the end of the year. The results announced on October 18 continue to demonstrate wide zones of mineralization. High grades were reported from both in-fill holes within the existing resources and from expansion drilling holes. Highlights included 13 meters grading 6.45 grams per tonne gold, 22 meters grading 2.96 grams per tonne gold, and 13 meters grading 11.6 grams per tonne gold. With the deposit now extending nearly 3 kilometers along strike, this should have a positive bearing on the resource update. I will remind you that Diakha is directly on the same mineralized trend as their own Boto project which Gord spoke to few minutes ago as well as the [indiscernible] mine operated by [V2 Gold] which also continues to demonstrate strong resource upside. At our Pitangui project in Brazil, we completed approximately 5000 meters of drilling. The focus continues to be on expanding São Sebastião deposit and testing priority targets for additional zones in mineralization. At our eastern Borosi project in Nicaragua Group, results were reported during the quarter from the ongoing 2018 drilling program. Highlights included 16 meters of 5.75 grams per tonne gold and 34.3 grams per tonnes silver. During the quarter we completed a further 1,400 meters of diamond drilling targeted on selected mineralized zones for potential extension, as well as testing other vein targets for the resource potential. Moving on to our projects in Quebec, at Monster Lake the drilling results is disclosed in the second quarter are now being incorporated into the resource model and will help guide further drilling programs in the deposit area. The exploration team is continuing to work at identifying additional targets along the Monster Lake structural corridor that could potentially host additional zones of mineralization. At the Nelligan project, we announced initialize the results from the 2018 drilling program. The results have been focused on evaluating the resource potential of the Renard zone, a large mineralized system located immediately North of the previously known Liam and Dan zones. The reported results were from 12 holes with highlights including 56.6 meters grading 1.8 grams per tonne gold, and 23.1 meters grading 2.59 grams per tonne gold. Results from another 20 holes are still pending. As we work towards a 43101 initial resource estimate, the results to-date have been very encouraging as they have confirmed wide zones of authorization and mineralization. Overall, excellent progress by the exploration team continues at all of our projects. With that, I'll hand it back to Steve.
Steve Letwin : Thanks Craig. And to wrap up, we confirm our 2018 production and cost guidance. As Carol talked about, the balance sheet remains very sound. As Craig and Gord both talked about reserves continue to grow and expected returns from our organic growth projects are looking increasingly attractive. So we continue to tick the boxes, execute and communicate is our theme song. We look forward to more updates as our projects move forward. With that, I'll open it up to questions.
Operator: [Operator Instructions] Our first question comes from Fahad Tariq with Credit Suisse. Please go ahead.
Fahad Tariq: I know it's early but - and the feasibility study is expected next year but for the Essakane, Heap Leach project, can you talk high level about what that means, what the change means for the production profile or the mine life or the throughput now that the Heap Leach will be run after the CIL operation rather than in parallel? Just trying to get some more color on the change.
Steve Letwin: Yes. So what we're looking to do next year is there's some obvious debottlenecking items we can complete for the mill. So currently, coming this year we're going to process about 13.5 million tonnes but that's at 85% hard rock. At 100% hard rock, we state sort of the throughput capacity for Essakane right now to be 12 million tonnes a year. That's based on a - that's over and above the 10.8 nameplate when we built the thing. We're comfortable with 12 million tonnes. We're going to be doing some work on debottlenecking work in the secondary crusher, secondary crusher circuit, the gravity circuit, and a couple of other areas. Not big expenditures but our estimate right now is that we'll guarantee us 13 million to 13.5 million tonne capacity on 100% hard rock. And in parallel, we're going to continue some feasibility work looking at a 15 million tonne per year option. If we were to do that that feasibility would be completed somewhere around the middle of next year and if it proves to be something we want to do, we would then move into a capital spend later next year to put that in place. So, you can you can think of it sort of as a 10% increase in throughput over where we are right now. Grades next year aren't as high as they are this year but working off the reserve grade that's not bad. Beyond that is a potential to add another - it's about a 15% increase I guess 15% 18% increase down the road, probably ready for operation in 2021. I don't have the ounce numbers exactly but it does represent throughput increase from where we're at right now.
Fahad Tariq: Just switching gears to Rosebel, I know in Q3 it was higher hard rock content which led to lower throughput and the sequencing lead to lower grade. Any indication of how Q4 is trending?
Steve Letwin: Well, I obviously don't want to say too much but the last three weeks - three-and-half weeks we've gotten into the high grade that we were expecting to actually hit in September in both [indiscernible]. So Q4 is trending to be a much better quarter than Q3 at Rosebel and talking with the guys - everybody is in town this week actually for budget meetings. There's a strong confidence that we'll finish out the year within the guidance profile that we laid out and starting to accelerate certainly from where Q3 was.
Operator: The next question comes from David Haughton with CIBC. Please go ahead.
David Haughton: Just touching on Essakane again, for the debottlenecking, Gord, what's your expectation for the CapEx to be able to get that high throughput on 100% hard ore?
Gord Stothart : The exercise for next year obviously none of this is approved we still are in the middle of doing budgets with the Board and everything. But that work for next year is sub $20 million.
David Haughton: So sub $20 million to get what is ordinarily 12 million tonnes per annum of 100% hard ore, up towards the 13 million plus tonnes per annum of hard ore.
Gord Stothart : Exactly.
David Haughton: And then further consideration down the road…
Gord Stothart : I mean I really only have preliminary numbers on the step to go to 15 million but it's probably - it's probably another 30 give or take, maybe even 40. We need to do a lot of feasibility work there. So I really don't want to be quoting too many numbers for you.
David Haughton: So one of the tricks there is that it puts the pressure back on Craig to be able to get the ore-to-feed a 15 million tonne per annum plant for a life that as Craig was saying to extend beyond 2030?
Gord Stothart : Exactly. That's one of the considerations in the feasibility study. As I said, as we've been drilling off this push back, we're actually finding additional higher grade materials. So it's less of a bogeyman for us but yes it is certainly a consideration.
David Haughton: Just coming back to Rosebel, and specifically having a look at the 43101 that was provided, I've got to say that for Saramacca I was very surprised at how erratic the strip ratio and grade is. So strip ratio life of mine is just under 11 to 1 grades, 1.8 foot. Looking at the table that's provided here, it just whips all over the place as far as the grade and the strip ratio and I'm trying to visualize what the pit must look like. Is there an opportunity to smooth out the strip and the grade compared to what was disclosed?
Steve Letwin: There's certainly an opportunity to smooth out the grade. And there are a lot of opportunities in this Saramacca plant. That's why we're a little reluctant to come up with too many cost numbers because none of us internally believes that the plan that we put together so far is the one we'll execute on. There's a lot of opportunity to ones without the grade. When I was talking during the presentation, I mentioned the opportunity to go to underground and that looks preliminary work makes that look very, very attractive, which then gets rid of your 11 to 1 stripping ratio overall and really brings it back into something more in line. We're doing work as we speak on hydrogeology and dewatering opportunities in the pits. What went into the technical study in terms of geotech was a very conservative pit wall angle in saprolite material and there's a thick saprolite blanket on this deposit. So it really does lack the stripping rate. We'll get into that a little bit more when we go on the analyst tour next week. But we're - I don’t want to say confident but we're certainly hopeful that the work we're doing on hydrogeology and geotech right now would allow us to steepen up the wall angle slightly for Saramacca in the saprolite. I mean the wall angles that have been used and the design that went into that – into the 43-101 are 8 to 10 degree shallower than we see at Rosebel itself just down the road.
David Haughton: The other part of that 43-101 that maybe you can talk to you is that right now we've got Rosebel throughput around about the 12 million tonne per annum kind of level. But even with the addition of the softer material coming out of Saramacca at least in the early phases you're only really looking at 10 million tonnes to 11 million tonnes per annum and I'm wondering whether there is a degree of conservatism in that expectation as well?
Gord Stothart: There is a degree of conservatism in that expectation.
David Haughton: So should we be thinking more like the supplemental softer phase should at least maintain the 12 million tonnes per annum for quite a number of years from where we are?
Gord Stothart: Again, as I said there's a lot of engineering ongoing right now. But yes, I am not uncomfortable saying that we should be able to run 12 million through that plant with the appropriate level of soft feed. Obviously the lot of work that Craig is doing and [indiscernible] team is doing right now is to extend Saramacca on strike. And we fingers crossed - there's an expectation that the amount of saprolite ore will grow as we do that.
David Haughton: Last question for Steve probably. Sadiola now interested in putting up for sale, have you received any inbound inquiries on Sadiola?
Steve Letwin: Yes, a lot.
David Haughton: So given that very brief comment would you see the possibility of it being sold this year?
Steve Letwin: I think that's tight, David. But the interest level is very high and Jeff Snow is quarterbacking that from our end with AGA, and I feel first quarter next year is probably a better time to look at. But we've been quite pleased with the responses and there's a lot of heavy lifting yet. We've got to talk to the government and so on. But, no, we've been very pleased with the response.
Operator: Our next question comes from Carey MacRury with Canaccord Genuity. Please go ahead.
Carey MacRury: Just had a question on the chart that's on Page 27, you showed pretty steady ramp up of production by 2022 and step down in the all-in sustaining cost. I'm just wondering for 2019 specifically is that where we should expect and kind of what are the key drivers into 2019 versus 2018?
Steve Letwin: So as I said before, Carey, we're in the midst of working on that right now. Next year been a couple of things to think about; one, Sadiola goes away from us. The other operations, we do consider - continue to see a bit ramp up with Westwood. Essakane is having an exceptional year this year in terms of grade and I'm not expecting that to carry forward. And Rosebel next year is more or less flat. If we can accelerate Saramacca little bit on the backend obviously that will help, and we're looking to see what we can do in that regard. So 2019 versus this year is relatively flat.
Carey MacRury: Just more with 2020 then things start to pick up?
Steve Letwin: Yes.
Carey MacRury: And then secondly maybe for Carol, just on working capital. I know it's negative $30 million working capital this quarter and I think it was $65 million for the year. Can you just talk a little bit about what's driving that and should we expect to reverse on that at some point?
Carol Banducci: No, that's a great observation. What happened this quarter as Gord drilling out his maintenance program with his team at site, we saw a buildup of supplies both at Essakane and at Rosebel with a focus of increasing our uptime. So we have had to add some additional supplies and equipment to support the operations but we are taking a look at that to see what this initiative if we can bring that down a bit for the next quarter so that’s something that's a work in progress. And the other contributor to the working capital was we did pay some tax installments this quarter as well so it’s not always even every quarter. And there is a bad receivable from the Burkina means our finance and so that was expected this quarter, looks like it might come in next quarter. So again it was significantly this quarter and we are working to bring it down.
Carey MacRury: And maybe one final question. I know it’s on the language on Côté it talks about potential decision in H1 2019 last week it was Q1. Is that - should we read something into that or is that just more or less the same timing?
Steve Letwin: I would say early H1.
Operator: Our next question comes from Steven Butler with GMP Securities. Please go ahead.
Steven Butler: A question was previously asked and answered on Essakane. Just to reiterate again Gord remind us again the prefeas study that envision Heap Leach starting it sooner rather than later. Was the mill scenario only running that 10.5 million tonnes per year in that previous PFS?
Gord Stothart: It was running at 12, 12 hard rock that was the assumption but there was no debottlenecking assumed at that point in time.
Steven Butler: So it was 12 on hard rock life of mine.
Gord Stothart: Yes.
Steven Butler: And you’re running higher than that right now 13.5 you said?
Gord Stothart: 13.5 but we’re at about 85% hard rock right now.
Steven Butler: Okay. And you may look at 15?
Gord Stothart: Yes, and look if we look at things like Gossey and some of these outside targets, we recognize that for 13, 13.5 hard rock, there is opportunity to shove some additional soft rock through there once we identify it.
Steven Butler: And are you running towards rushing towards a resource update Craig at this year for Gossey or other areas of Essakane?
Craig MacDougall: Yes, we are. Gossey will be out in the fourth quarter.
Steven Butler: Okay. Thanks guys.
Steve Letwin: Yes just maybe just a comment I’m not sure how many more questions we have, but I just want to reiterate that when we look at where the company is going over the next few years, it's obviously very attractive we believe from a shareholder standpoint. Two things we're bringing on satellite reserves like at Saramacca and I’m constantly challenging Gord about how conservative we are in Saramacca but we’ve learned in the industry to under promise and over deliver so we got to find out that because of the penalties we pay, and the punishment that’s administered if we don't follow that line. But I can tell you that my confidence level in this company has never been higher. When I look at what the potential of Saramacca is and changing Rosebel, I believe that we are going to meet our targets, but we've indicated and Essakane continues to perform we’re deferring $100 million of capital which really improves our ability to finance Côté going down the road and Essakane just looks better under the scenario that Gord described or we take a CIL approach versus Heap Leach. Production numbers will be a little lower than what we had thought under Heap Leach, but the rate of return on the economics is much stronger. So this points to and what we said a very attractive future for the company where we will be bringing down our cost significantly, bringing up our production significantly, and our reserve life will continue to improve. So it’s always a long haul in the mining business as you know. It takes a lot of heavy lifting. We’re in a market right now where it’s extremely tough as we all have observed but this company has a very good look going forward and we continue to have the confidence that we’re going to be able to deliver on what we've indicated.
Operator: [Operator Instructions] Our next question comes from Tanya Jakusconek with Deutsche Bank.
Tanya Jakusconek: I just wanted to make sure that I understood this both from an operating side and then from a financial side. It's got to do with Essakane again. So just from an operating side, just to start with the fact that you're looking at this option for increasing your throughput. Looks like you said about under 20 million to go to 13 million to 13.5 million tonnes per annum on a 100% hard rock, then moving up to 15 million tonne option probably in the 30 million, 40 million range or thereabout and when are we getting that feasibility study on that option Gord, that 15 million?
Gord Stothart : On the second option, as we complete the feasibility study for the Heap Leach, we're going to be completing the feasibility sort of level of study on that on the second phase of debottlenecking. So it'd be mid next year.
Tanya Jakusconek: So mid next year we get the Heap Leach and that 15 million tone…
Gord Stothart : Yes, on the Heap Leach, the neat thing about putting a Heap Leach after the CIL is if we do that we don't have to construct the frontend of the plant. We can use the existing primary secondary pressures. We can use the pebble crushers. So we don't have to do that. We actually are able to do it within the existing footprint of the mine industrial area. So we don't have to extend the fence. We don't have to relocate anybody. The processing, the carbon columns, we can use existing equipment. So there is some actual really hard savings to putting the Heap Leach after CIL.
Tanya Jakusconek: And just before getting to the savings and those numbers, the mining aspect of the Heap Leach you're going to continue parallel, so it would be coming-in in 2020 like you originally had planned Gord and then you're just stockpiling it?
Gord Stothart : Yes. The mining rates are pretty much the same because we need to - it was the CILC that was always driving those mine rate. So we needed to mine at that rate to keep the plant full. Obviously if we increase the throughput, we have to work even a little bit harder. But yes, that was what was driving it, it wasn't so much the Heap Leach production that was driving the mining rate. It's always been the CIL rate that's been driving the mining.
Tanya Jakusconek: So we would just assume that you just keep mining for the Heap Leach, stockpiling it and then putting it after 2026 or thereabout?
Gord Stothart : Yes.
Tanya Jakusconek: So that's on the operating standpoint. And from the financial standpoint what I understood from you is that the Heap Leach option I think was $150 million, correct me if I'm wrong, to build. Looks like $100 million of it was next year which you've removed and from that instead would be the $20 million you mentioned for going up to 13 million tonnes to 13.5 million tonnes. And so ultimately the financial gain is it that we have saved $100 million, is that it?
Gord Stothart : Yes, the number was about $155 million. As I said we deferred at least $100 million from next year and maybe even a little bit more. The net savings, I mean, we still have to build pads, we still have to buy some stacking equipment things of that nature. Probably the next savings from the Heap Leach you've deferred I got to say 30 million or 40 million from next year. Again, it'll come out with the feasibility study. But I would think in 2026 you're going to be spending pick a number $20 million to $30 million in order to build the Heap Leach. And now it starts to get a little more complicated, when we look at the 15 million tonne per year option. Again, the piece that is involved there is an HBGR, that's put into the crushing circuit. If we do that as part of a 15 million tonne expansion that will even more reduce what gets back later on for Heap Leach. There's some commonalities in the front end of the circuit here. So all we're looking at is what we pull forward or what we delay.
Tanya Jakusconek: So just to wrap up so I understand, the $20 million to $30 million to be spent on the Heap Leach at the backend is deferred this $100 million but then you've got to spend another let's say $60 million or so to go down to that 15 million tonnes?
Gord Stothart : Yes, and my number's I'm really sort of rack in my head here. It's in that neighborhood. As I said, when we come up with a feasibility study they'll be certainly better numbers behind that.
Tanya Jakusconek: So looking at it, is it reasonable to assume maybe Carol jump in here that at least $50 million of savings net net?
Gord Stothart : Or at least. At least.
Carol Banducci: Yes. I mean I think you said it right at the beginning. it's about $100 million in savings and as Gord tried to articulate or as he has articulated, we're looking at where it sits in our budget cycle in terms of the spending and what that difference is right now we're in meetings kind of reviewing that from a preliminary perspective. But bottom line, you're right. It's about $100 million for us.
Tanya Jakusconek: That's good. Yes, it's going to give you bit more flexibility on your other projects, Carol.
Carol Banducci: That's right.
Tanya Jakusconek: Okay, perfect. Well, thank you very much for that. We'll hopefully understand all of this when we get more details mid next year.
Operator: This concludes time allocated on today's call for questions. I will now hand the call back over to Ken Chernin, for closing remarks.
Ken Chernin : Great. Thank you very much, Selvis. And thank you everyone for joining us this morning and for your continued interest in IAMGOLD. We look forward to you joining us for our Q4, 2018, conference call on February 21. Thank you very much.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.